Presentation:
Operator: Good day, everyone, and welcome to today’s Home Depot Quarter One 2014 Earnings Call. Today’s conference is being recorded. (Operator Instructions) Beginning today’s discussion is Ms. Diane Dayhoff, Vice President, Investor Relations. Please go ahead.
Diane Dayhoff: Thank you, Levi, and good morning to everyone. Joining us on our call today are Frank Blake, Chairman and CEO of The Home Depot; Craig Menear, President, U.S. Retail; and Carol Tome, Chief Financial Officer and Executive Vice President, Corporate Services. Following our prepared remarks, the call will be opened for analysts' questions. Questions will be limited to analysts and investors. And as a reminder, we'd appreciate if the participants would limit themselves to one question with one follow-up. If we are unable to get to your question during the call, please call our Investor Relations department at (770) 384-2387(770) 384-2387. Now before I turn the call over to Frank, let me remind you that today’s press release and the presentations made by our executives include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks (technical difficulty) differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to those factors identified in the release and in our filings with the Securities and Exchange Commission. Today’s presentations may also include certain non-GAAP measurements. Reconciliation of these measurements is provided on our Web site. Now, let me turn the call over to Frank Blake.
Frank Blake: Thank you, Diane, and good morning, everyone. Sales for the first quarter were $19.7 billion, up 2.9% from last year. Comp sales were positive 2.6% and our diluted earnings per share were $1. Our U.S. stores had a positive comp of 3.3%. Our sales for the quarter were below our expectations. In 2013, we experienced a delayed spring in the U.S. and Canada and we expected more normal weather for this spring. Instead, much of the U.S. and Canada had an even colder spring and this had a significant impact on our sales. In previous years, we've talked about the bathtub effect that weather can have on our spring seasonal business, where weak sales in the first quarter are counterbalanced by strength in the seasonal business in the second quarter. We expect the same effect to be true this year. As we look at the performance of our business in the first quarter, the strength in the areas of the country where more normal weather existed supports this outlook. In the U.S., as Craig will discuss, our northern division, our largest division negatively comped, driven by weakness in seasonal and outdoor categories, but in our southern and western divisions we not only positive comped, but we actually did better than we expected. There has been a fair amount of discussion about the fact that many indicators in the housing market have softened over the last several months leading to the question of whether this indicates that the housing recovery has run out of steam. As we parsed the data from our own business, that is not what we see. The core categories in the store remain strong; pro-sales continue to grow. Our services business grew high single-digits in the quarter and we had another quarter of big ticket growth. And our fundamental view on the recovery and the home improvement market has not changed. We didn’t expect the recovery in 2014 to be as dramatic as last year's, but we continue to believe that home price appreciation, affordability and an aging housing stock in need of investment will continue to drive growth. On the international side, our Canadian business posted a positive comp in local currency for the quarter. In Mexico, our team posted their 42nd consecutive quarter of positive comps. They also inaugurated an online e-commerce site piloting it now in limited geographies, but eventually planning for coverage across the country. The power of interconnected retail and the opportunities it creates for us are now becoming apparent throughout North America, Canada, Mexico as well as the U.S. And we are pleased that as we invest in this area, we are seeing a positive response from our customers as indicated by improving customer satisfaction surveys and by our sales results. Our dotcom business had sales growth of almost 40% for the quarter. We are consistently seeing over 3 million visits per day and our conversion rate continues to increase. Also our dotcom presence was a contributing factor to our transaction growth. As Carol will detail, we are reaffirming our sales guidance and increasing our earnings per share guidance for the year to reflect the benefit associated with the sale of a portion of our equity position in HD supply. Let me close by thanking our associates for their hard work and dedication with a special thank you to all of our associates, who have helped communities in need throughout the country as they deal with floods, tornados, and fires. Based on this quarter's results, over 90% of our stores would be eligible for success sharing, our profit sharing program for our hourly associates. We are proud of this result, and look forward to improve on it in the second quarter. With that, let me turn the call over to Craig.
Craig Menear: Thanks, Frank, and good morning, everyone. The extreme winter weather we experienced across much of the Midwest and northern parts of the country had a negative effect in our sales. However, in areas not affected by the weather, we are pleased with our performance in the first quarter as we saw continued strength across the store. From a geographic perspective, 15 of our 19 U.S. regions posted positive comps. The regions with negative comps were heavily impacted by weather and included New England and the Mid Atlantic. New York and New Jersey were also negative due to weather. Further, these two regions were up against tough comparisons given last year's strong repair sales from hurricane Sandy, which contributed about 145 million to sales in the first quarter of 2013. In the western and southern divisions we had solid positive comp performance, almost twice the U.S. average. The departments that outperformed the company's average comp were tools, electrical, plumbing, kitchens, bath, hardware, decor, building materials, millwork and lighting. Flooring, indoor garden and paint were positive, but below the company average, while outdoor garden and lumber were negative. The core of the store continued to perform well as we saw strength in maintenance and repair categories across the country including the northern division. HVAC, light bulbs, insulation, cleaning, pipe and fittings, hand tools, safety and security, water heaters, fasteners, caulk and air circulation all had comps above the company average. Outdoor project categories were pressured from the weather and we saw comp sales below the company average in roofing, chemicals, lawnmowers, soils and mulches, and live goods. As we saw last year, the majority of these projects were likely to be deferred to the second quarter. On the other hand, our customers continue to complete projects inside the home. In simple decor, bath, lighting and hard surface flooring had strong sales that were driven by tile, laminate, setting materials, closets and bath fixtures. Total comp transactions grew by 2.1% for the quarter, while average ticket increased 0.6%. Our average ticket increase was negatively impacted by commodity price deflation mainly from lumber and copper. The total impact to ticket growth from commodity price deflation was approximately negative 30 basis points. Despite the softness in outdoor garden, transactions for tickets under $50 representing approximately 20% of our U.S. sales were up 1.6% for the first quarter. Transactions for tickets over $900 also representing approximately 20% of our U.S. sales were up 2.5% in the first quarter. The drivers behind the increase in big ticket purchases were HVAC, pro-sales and appliances. Our pro-customer continues to recover, and we saw broad based strength in areas that were not affected by weather. Total pro-sales grew at the company average, but sales from our larger pro-customers, which we define as those who spend more than $10,000 a year with us grew more than twice the company average. Our Pro Xtra loyalty program continues to gain traction, and we now signed up over 1.5 million pros. The goal of the program is to make our pro-customers jobs easier, and it provides them targeted offers, e-receipts and discounted business services. Our tool rental and service businesses also performed well during the quarter posting comps well above the company average. In services, bath, HVAC and window installations were the main drivers of sales during the quarter. We continue to invest in our stores from both our customers and our associates, and we are pleased that we are live in our first store with the new customer order management system or COM. This system is designed for greater visibility and execution of special orders by our associates and a frictionless experience for our customers. We are planning for the system to be rolled out all U.S. stores by the end of the year. Now let me turn our attention to merchandising activities in the second quarter. We have an incredible lineup with great values and special buys for our Memorial Day, Father's Day and 4th of July events. We continue to bring new and innovative products to market. For example, expanding our offering of LED light bulbs from CREE with an additional 10 SKUs including the 100-watt equivalent and three-way bulbs. New in lawncare from Toro is the first ever gas powered mower that can be folded and stored upright in your garage using 70% less space with virtually no fear of oil or gas leaks. For our professional customers, we are introducing a brand new Glidden propane program at an outstanding value. The lineup offers four different types of paint with both the features and price that our pros are looking for. I'm also pleased to announce that we are adding KitchenAid to our appliance assortment, and it will be available in select stores and online by the end of the second quarter. These events along with the continued productivity gains in our superior execution in the stores will generate a lot of excitement in the second quarter. And with that, I'd like to turn the call over to Carol.
Carol Tome: Thank you, Craig, and hello everyone. In the first quarter, sales were $19.7 billion, a 2.9% increase from last year. Our total company comps or same-store sales were positive 2.6% for the quarter with positive comps up 2.2% in February, 3.8% in March and 2% in April. Versus last year a stronger U.S. dollar negatively impacted total company comps by approximately 70 basis points. Comps for U.S. stores were positive 3.3% for the quarter with positive comps of 2.8% in February, 4.6% in March and 2.8% in April. March and April comps were impacted by the timing of Easter. On a like-for-like basis, April comps would have been 200 basis points higher. Our total company gross margin was 35% for the quarter, an increase of five basis points from last year. Our gross margin expansion was driven primarily by a lower penetration of lower margin categories like lumber and outdoor garden. One other comment on gross margins, the harsh winter weather placed a number of challenges on our supply chain. The team did a great job of managing these challenges, and at the same time continue to build out our direct fulfillment capability. While some companies experienced deleverage from their supply chain cost in the first quarter, we did not. For fiscal 2014, we continue to expect our gross margin rate to be about the same as what we reported in fiscal 2013. In the first quarter operating expense as a percent of sales decreased by 57 basis points to 23.4%. Our expense leverage reflects the impact of positive comp sales growth as well as a reduction in certain other expense items like management bonuses. For the year we are expecting our expenses to grow at approximately 33% of our sales growth rate. Moving to interest and investment income, at the end of fiscal 2013 we owned 16.25 million shares of HD Supply common stock or about 8% of outstanding shares. Our initial investment was worth $325 million, but we impaired and wrote off the carrying value several years ago. In April, HD Supply completed a secondary offering and we participated by exercising our piggyback rights. As a result, in the first quarter we recognized a gain on sale of $97 million, which is reflected in interest and investment income. The net after tax gain was $61 million off $0.12 of diluted earnings per share. Following the sale, our equity state in HD supply is now approximately 12.4 million shares or 6.3% of outstanding shares. Our income tax provision rate was 36.9% in the first quarter and we expect our income tax provision rate to be approximately 37% for the year. Our diluted earnings per share for the first quarter were $1, an increase of 20.5% from last year. Our diluted earnings per share for the first quarter included a $0.04 benefit from the gain on sale of HD supply share. During the first quarter we did not open any new stores. We ended the quarter with 2,263 stores and selling square footage of 236 million. Total sales per square foot for the first were $334, up 1.8% from last year. Now, turning to the balance sheet, at the end of the quarter inventory was $12.3 billion, up approximately $518 million from a year ago. Inventory turns were 4.4 times, flat to last year. We ended the quarter with $42.6 billion in asset including $2.5 billion in cash. In the first quarter we repurchased $1.25 billion or approximately 15.8 million shares of outstanding stock. For the remainder of the year we intend to repurchase approximately $3.75 billion of outstanding stock using excess cash bringing total 2014 share repurchases to $5 billion. Computed on the average of the beginning and ending long-term debt and equity for the trailing fourth quarter, return on invested capital was 21.2%, 350 basis points higher than the first quarter of fiscal 2013. When we wrote our 2014 sales plan it was based on U.S. GDP growth forecast of approximately 3% at about 200 basis points of growth coming from continued recovery in housing market. It also assumes that we would have a normal venture and that commodity prices would remain fairly stable. So, what’s changed? Well, we didn’t have a normal winter, but as Craig detailed and we believe that most of the sales lost to slow on the ground in the first quarter will be realized in the second quarter. While U.S. GDP growth in the first quarter was weak incentives forecast for the year are still in the 3% area. Positive statistics are not as robust as they were last, but they are materially different than the assumptions we used to build our plan. Finally, while we experienced commodity price deflation in the first quarter commodity prices appear to be stabilizing. As we look at our U.S. comp performance in the first quarter, we estimate that the harsh winter weather negatively impacted our comp sales by about 100 basis points. And that commodity deflation negatively impacted our comp sales by about 30 basis points. Additionally, as Craig mentioned, in the first quarter we had $145 million of sales pressure coming from Superstorm Sandy sales last year. Considering these factors, the run rate for our U.S. business in the first quarter was inline with our expectations. Further, May sales are robust. So today we are reaffirming the sales guidance relayed out our fourth quarter earnings call and we expect fiscal 2014 sales to increase by approximately 4.8% with positive comps of approximately 4.6%. For earnings per share, remember that we guide off of GAAP. We are lifting fiscal 2014 diluted earnings per share growth guidance to reflect the gain on sale of HD supply stock, and now expect diluted earnings per share to grow by approximately 17.6% to $4.42. We thank you for your participation in today’s call, and Levi, we are now ready for questions.
Operator: (Operator Instructions) And we will go to our first question from Dennis McGill with Zelman & Associates. Please go ahead.
Dennis McGill - Zelman & Associates: Carol, I think you've got some people excited with that word robust.
Carol Tome: Good morning, Dennis.
Dennis McGill - Zelman & Associates: Good morning. I guess the financial question is just maybe elaborating on that if you can, especially I'm sure the question will be asked against the tough comps from last year, which I think were among the strongest of the entire year, and how you think about maybe where you are seeing that category wise?
Carol Tome: Well, you are right. We are up against very tough comps, and our comp in May last year was double-digit, but we are very pleased with our results thus far and maybe Craig you want to give a little color.
Craig Menear: Yeah. We continue to see strength across the store as we did in the quarter, and as the weather improves we are seeing an improvement obviously in our seasonal businesses and exterior categories.
Dennis McGill - Zelman & Associates: Okay. And then secondarily on the inventory side, I think with that being up, maybe this ties into the trend, but how would you describe what you would expect for inventory turns and inventory through the year and maybe just address anywhere where there is elevated inventory relative to expectations and how that might impact margin as we move forward?
Carol Tome: Inventory is up year-on-year a little over $500 million. That’s really a reflection of the sales environment in Q1, we are starting to see the inventory come down and align with the robust sales that we are seeing in May. We’d expect to have inventory turn year-over-year improvement by the end of the year.
Dennis McGill - Zelman & Associates: Okay, great. Thank you.
Operator: And we will go to our next question from Brian Nagel with Oppenheimer.
Brian Nagel – Oppenheimer: Hi, good morning.
Carol Tome: Good morning.
Brian Nagel – Oppenheimer: I too wanted to quickly address the recent sales commentary. So obviously, robust is a strong word here and the markets reacted favorably to that. But as you look at, as the weather is turning here and maybe more of a qualitative type question, but as the weather is turning, how would you characterize the products that consumers are buying now? Are you seeing clear evidence that there is a lot of repair type items they are buying and that maybe the typical spring type products are still to come or is there just -- now it's a catch-up to spring?
Craig Menear : Yeah, we are seeing obviously the spring categories begin to take off. We know that landscape products need to be replaced. We are seeing sales improve in those areas. We know that in the harsh winter areas, for example, concrete cracked. So we are seeing sales in categories like concrete as a result of the repairs needed; and same thing in gutters.
Brian Nagel – Oppenheimer: Okay. And then a follow-up question and a comment or a question on, Frank, your opening comments about the overall housing environment; there's a lot being talked or written about now just about the slower housing turn and maybe some of the reasons behind that are supply-driven. But do you see -- as you look at the Home Depot business, do you think a slower housing turn right now is a significant drag upon the business or are other factors more than making up for that?
Frank Blake: Brian, we believe as we set out before that home price appreciation is one of the important drivers of our business that as homeowners get more comfortable that the spend on their houses that they will be able to recoup that investment. That’s a big tailwind for us, and we've seen continued home price appreciation even during some softening of other housing indicators. That’s not to say that the other indicators aren’t important to us, housing turnover, existing housing turnover obviously does drive sales for us, but it’s always worth remembering that that’s a relatively small percentage of the overall homeowners. It’s around -- between 4% to 6% depending on the year.
Carol Tome: And to put it in perspective, housing turnover at [4%] [ph] of unit today, and that’s what we used when we built our plan.
Brian Nagel – Oppenheimer: Okay. Cool, thank you very much.
Frank Blake: Thanks, Brian.
Operator: And we will go to our next question from Chris Horvers with JPMorgan. Please go ahead.
Chris Horvers - JPMorgan: Thanks, good morning. So I will try to sharpen the robust pencil point as well. So as you think about May is sort of the bounce in the landscape business, the comparison in April and May are pretty similar overall last year. So, does that acceleration mean more than sequential, i.e., is it accelerating on the outdoor business accelerating on a year-over-year basis, May relative to April?
Carol Tome: It does. When I answer your question positively, I am referring to the adjusted April, which was a little over 4%. So May is higher than the adjusted April.
Chris Horvers - JPMorgan: Perfect. And then, as you think about sort of the underlying tenure of the business, the pro was inline overall obviously stronger in the West. Do you think that the weather did have an impact on the pro business during the quarter in the northern divisions and is that sort of seeing the similar bounce as you look at May?
Frank Blake: Yeah. Chris, you could see that in our numbers that there is a difference with the pro in the south and west versus the north, I don’t know, Marvin, you might want to comment on that.
Marvin Ellison: Yeah. Chris, I think that’s exactly right. Craig mentioned that our large pro, which we defined as spending an excess of 10,000 plus per year was very strong in the quarter. We actually saw some strength in the northern division specifically the mid western central part of that region. So we are excited about the pro business. You know we put a lot of emphasis on service in the store. We have outside sales reps that are managing those larger accounts. And we are seeing a lot of positive growth and we are excited about initiatives like Pro Xtra, which is our loyalty program which we have 1.5 million pro signed up. So we are excited that we have a lot of work to do, but we have good momentum going.
Chris Horvers - JPMorgan: And then a final question in terms of the commentary around the deflation in the quarter, do you think that -- do you expect that to flatten out for the rest of the year or what does the shape of that curve look like going forward?
Carol Tome: Well, the good news is that lumber has actually anniversaried and it’s now ahead of last year. Structural panel is down, but it’s heading in the right direction. Copper yesterday was up, so it’s our point of view that it will normalize and flatten out.
Chris Horvers - JPMorgan: Perfect. Thanks very much.
Carol Tome: Welcome.
Operator: And we will go to our next question from Matthew Fassler with Goldman Sachs. Please go ahead.
Matthew Fassler - Goldman Sachs: Thanks a lot, and good morning.
Frank Blake: Good morning.
Matthew Fassler - Goldman Sachs: My first question relates to the sequential sales trends in the South and West in the first quarter relative to the fourth quarter. Presumably those are regions that weren't really impacted by the inclement weather. You should tell us if there was some impact perhaps from the drought out on the West Coast. How did the comp trend in Q1 compare to what you had seen in Q4 in the second half of last year?
Frank Blake: I got to pull up from memory where we were. What I would tell you Matt is that as I said in the commentary that both the south and the west were ahead of what we had planned for on the sequential comp basis.
Matthew Fassler - Goldman Sachs: Got it, and then my second …
Frank Blake: I would also note that that was even with some weakness in the garden areas because of we -- well, and also in Texas we had slower spring. So that was true even with that. So a slight -- it went down slightly from Q4, but again ahead of our expectation.
Matthew Fassler - Goldman Sachs: Got it. And then my second question I think is for Craig. Flooring as a category that you cited is tracking I believe a bit below positive, but a bit below the chain average. And that is a business that I guess is indoor-driven and I wouldn't be sure if there was a weather impact. So can you talk about what is going on in that category please?
Craig Menear: Yes. What we saw was softness in the soft side of flooring. It’s really difficult to lay carpet when you have snow in the driveway, because generally as they come in and do those projects that carpet gets laid out and cut in the customer’s driveway. So we saw it there, but we were very pleased with the hard surface flooring sales.
Matthew Fassler - Goldman Sachs: Got it. Thank you so much.
Operator: And we will go to our next question from Budd Bugatch with Raymond James. Please go ahead.
Budd Bugatch - Raymond James: Good morning and thank you for answering my question and taking my question. You talked about the dotcom being up 40% year over year. I don't remember if you gave us our comp store sales impact, Carol, if you might do that?
Carol Tome: Yeah. We are happy to give you just a little bit more color on dotcom sales. The sales growth for dotcom year-on-year was $232 million, now making up 4.2% of our total penetration. And for the U.S. the comp contribution is a little over 100 basis points.
Budd Bugatch - Raymond James: Okay. And was there much difference regionally? Could you see any weather impact on that?
Frank Blake: So we have Kevin Hoffman here, and Kevin is president of our online business. Kevin, if you want to respond to that.
Kevin Hoffman: Yeah. Thanks, Budd; very, very little difference regionally. Of course we saw in the south and west a bigger pick up of seasonally related categories and certainly in the north people weren’t buying a lot of patio sets and lawn movers, but not as big of regional differences you would see in the physical stores.
Budd Bugatch - Raymond James: Okay. And my second question really goes to gross margin. I think your guidance for the year is flat gross margin; I think you restated that this morning. You had up 5 basis points, but you had some challenges in the first quarter that you referred to from the weather. So maybe that gross margin is going to be a little bit better than you originally thought?
Carol Tome: Well, Budd, we planned our gross margins to be down in the first quarter, because we thought we would have a higher penetration of lumber and garden than we experienced. So we were pleased with the performance of course, but it was really a function of sales. So as you think about the second quarter then, as we recover in those categories, you should plan on the gross margin in the second quarter to be down year-on-year. With the full year, we expect the margin to be flat.
Budd Bugatch - Raymond James: Okay, as always, Carol, thank you very much for that color. Good luck on the quarter and the rest of the year.
Carol Tome: Thank you.
Frank Blake: Thanks, Budd.
Operator: And we will go to our next question from David Schick with Stifel.
David Schick – Stifel: Hi, good morning and thanks for taking my question as well. The question is on the SG&A side; really impressive controls with the business being slower. Just if you could take us through the mechanisms that were at work there and how we should think about those at work over the balance of the year?
Carol Tome: Well, thank you. A few things about due to the expense performance in the first quarter, we called out lower expense items and one big one with the management bonus. A year ago we were accruing bonuses with a beat to plan or now accruing that we will make plan and that goes us about $27 million. So that was one of the ways that we drove expense leverage as a function of, last year we were beating. This year we think we will make our plan. We did, and Marvin did an excellent job, and Craig managing payroll and the stores in a very difficult environment as you can appreciate. We did leverage hourly payroll as we expect that in the stores. We looked at expense items and where we could push some expense into the second quarter, we did for example advertising was under our plan because we thought why advertise into a snow storm. So we pushed some of that spending into the second quarter. For the full year we expect our expenses to grow at about 33% of our sales growth rate. As you are building your model expect the first quarter and the fourth quarter to be under our guidance, and the second and third quarter to be over our guidance. This is a function of year-over-year items and for the full year growth of 33% of sales growth.
David Schick – Stifel: Thank you.
Carol Tome: You are welcome.
Operator: And we will go to our next question from Aram Rubinson with Wolfe Research.
Aram Rubinson - Wolfe Research: Hey, good morning. Thanks for taking the call. Two things; hoping first you can add some clarity on how we should interpret spring Black Friday promotions. I know in the past the industry has kind of moved more to everyday low price. What is the internal debate about whether or not we are moving away from that at the margin and how should we think about that?
Frank Blake: As it relates to spring black Friday or any of our key promotional activities heavily centered around special buys; that’s kind of been a strategy that our company has had from its inception to grow work deals with our suppliers, drive productivity in their factories. We use savings. We pass that savings along to the customer. So, now -- although big change.
Aram Rubinson - Wolfe Research: Okay, so that is not kind of a slippery slope that we are starting to climb onto?
Frank Blake: No.
Carol Tome: No.
Aram Rubinson - Wolfe Research: And if you could talk a little bit about space allocation in the stores now that you are realizing online can be a great place. I know your patio furniture is one area where you guys have pushed kind of the showroom type of philosophy. What other areas of the store are you kind of deploying the showroom philosophy? Where are you surprised that customers are taking product with and where can you steer them towards that more showroom mentality and how much space might that ultimately be able to free up in your store?
Frank Blake: Actually I would start with -- we’ve added space to our appliance business. That was a result of a change in how the customer begins the purchase process in kitchens with a leveraging digital technology that you research upfront. So in many of the spaces where we expanded on our clients showroom, we actually took that from our kitchen showroom business. As you referenced in patio we see strong sales transitioning to the customers looking for choice online. So we obviously are using that to expand as well. We also are working pilots in lighting to have a similar type effect where we can show product a broader breadth of assortment in lighting and sell through the digital channel.
Aram Rubinson - Wolfe Research: And just the last thing, is there a way to use technology like big LED screens or something like that instead of these large vignettes, whether it is for kitchens and lighting and things like that, to save space and maybe just use kind of an interactive display and then I will leave you be?
Frank Blake: What I would say there is we have put an appliance kiosk or larger screen into our stores. What we have found is that it is a great selling tool for our associates and for the customers to be able to do comparisons on product. Our experience has been that there are now lot of engagement with the customer by themselves, more of an assisted sale.
Carol Tome: In total 450 additional stores, this year will have some sort of an appliance change made to them either more square footage or another kiosk. So, yes, the technology is a way that we can help drive sales.
Aram Rubinson - Wolfe Research: Thank you, guys.
Carol Tome: Thank you.
Operator: And we will go to our next question from Greg Melich with ISI Group. Please go ahead.
Greg Melich - ISI Group: Thanks. I wanted to follow up on the appliance point, then I had another question. Given the added stores that you have on appliances, I know that the jumbo set helped last year. Can you help us with how much it helped comp or ticket this year?
Carol Tome: For the total company it contributed about 10 basis points of comp growth.
Greg Melich - ISI Group: Okay, a lot less. Okay, great. And then I think the second question was more of a technical one, Carol. If the fourth quarter has an extra week, how come the SG&A doesn't grow as much in that quarter?
Carol Tome: It’s just year-over-year expense items.
Greg Melich - ISI Group: So, it's just start of the year or the end of the year stuff coming together. It’s just you expect less in the fourth quarter?
Carol Tome: Exactly.
Greg Melich - ISI Group: Okay. I do want to ask Craig one thing. You mentioned COMS, this customer order management system you are finally rolling out. Could you just explain that from a customer perspective what is different about that when I come in and what your early results have shown?
Craig Menear: Well, we’ve just begun the pilot in the first store. But what we are trying to do is give greater visibility to the consumer and our associates to special orders throughout the process. So when they actually place an order to understand the status of that order, where it is in the process of manufacturing. And then obviously arrival to our stores and we want to be able to give that visibility to our associates in the store, so they can better answer questions as well for our consumers during that process. And it’s a coordinating effort that drives back into our manufacturers, our suppliers to be able to coordinate all the way through the supply chain.
Carol Tome: And if I can pile on, each store is like a brand. And we had these customer orders essential to the store. So if you shopped in a store in Manhattan and then we are visiting a store in Chicago, I couldn’t see your order in Chicago. But now because we have a common order management you will be able to see the order wherever you shopped. So that’s good for the customer and good for the associates.
Marvin Ellison: Yeah. Greg, this is Marvin. In the past your greatest visibility was a phone call to an associate in the store for a status update and we want to give the information to the customer at their convenience, mobile device, PC, text, a lot of customer to choose how they want to receive that information.
Matt Carey: And Greg, this is Matt Carey. I would also add that believe it or not a lot of these orders used to be faxed to the vendors and obviously a lot of opportunity for error. So we have eliminated those faxes, put it on EDI and really kind of started to streamline how those orders look.
Greg Melich - ISI Group: And if I could ask, how many of your vendors are actually able to handle this and work with you on it right now? Is it a majority?
Frank Blake: It is all of our large suppliers have that capability, and we are working with some of our smaller suppliers to bring them up.
Carol Tome: Yeah. The classifiers don’t have it directly; they will go through a band. It will be EDI a hundred percent when we are done.
Greg Melich - ISI Group: That’s great. Good luck.
Frank Blake: Thank you
Carol Tome: Thank you.
Operator: And we will go to our next question from David Strasser with Janney Capital Markets. Please go ahead.
David Strasser - Janney Capital Markets: Thank you very much. I had two questions. The first one, in the first quarter, you saw the big ticket decelerate. I mean obviously I'm sure some of it had to do with weather. Can you quantify how much of that deceleration came from weather and then as things kind of rebounded again in May if you saw that number bounce -- a bigger ticket bounce along with the rest of the business back into sort of the range of the 5% plus that you had been seeing the last couple of quarters?
Frank Blake: David, it’s a little difficult to quantify the weather impact, but what I can tell you is categories like roofing, categories like riders, which are significant drivers to the larger ticket were clearly softer in the first quarter. We can assume that that’s weather-related.
David Strasser - Janney Capital Markets: Do you think that the numbers are holding up relatively -- like if there was any sort of sense of normalization -- as you looked at May I guess, did those bigger ticket things bounce back as rapidly as the live stuff in the rest of lawn and garden?
Carol Tome: We haven’t parsed the data in that kind of detail, but we will now. We will talk to you about it at the end of the quarter.
David Strasser - Janney Capital Markets: All right. Thanks. One other -- a follow-up question, as you look at May and the robust sales that you saw, how do you guys adjust the infrastructure of the business to be able to add to that. The difficulties of bad weather, good weather, bad weather, good weather, how do you adjust that delivery system and your systems and your ability to deliver to the customer with inventory in-stocks and deliveries and everything in such a sort of volatile environment I guess?
Frank Blake: David, just two comments on that, you hit two big points of variability in our business, our labor force and our supply chain and then also our vendor responsiveness and what you saw in the first quarter of this year as well as the first quarter and second quarter last year was the ability of our teams to be very flexible in terms of responding both to lower demand and significantly increase demand and we have more Mark Holifield here who leads our supply chain effort. Mark, you might want to comment on the supply chain side of that Marvin on the payroll side of it.
Mark Holifield: Yeah. It was a very challenging quarter from a supply chain perspective with transportation rates and the weather led to a lot of issues there, but the RDC network really gives us the capability to respond along with our staffing BCs. So team work very hard and you use the infrastructure that we build which is quite flexible and we were able to respond to the weather.
Craig Menear: David, the only thing I will add in the stores is that we partner very closely with the supply chain. As you know our payroll model is activity based. So we flex up and flex up based on our forecast of sales. It’s a challenge of when you are forecasting or planning sales to be higher than the weather is permitting, but very proud of the stores, very proud of our payroll management team here at the store support center is a coordinated effort. And again as Carol mentioned, we leveraged payroll by approximately 34 basis points for the quarter. We are very committed to managing the business well and we are committed to doing that while improving service. So, great partnership with supply chain; we have to be nimble and we are pleased with the performance so far.
David Strasser - Janney Capital Markets: Thank you very much. I appreciate it.
Operator: And we will go to our next question from Michael Lasser with UBS. Please go ahead.
Michael Lasser – UBS: Good morning, and thanks a lot for taking my questions. Two questions actually; first, we can see the relationship between home improvement comps and housing turnover, but I guess when you look at it and parse it more on a category level, what categories and what product areas have exhibited the tightest relationship with that metric in the past? So, is it flooring, is it appliances? What typically are consumers doing when they are moving into a home or moving out of a home? And the obvious question is will that allow us to observe those areas and see some sense if the sector is going to become re-coupled with that metric over the next couple of quarters?
Frank Blake: Michael, one comment I'd make is it depends a bit on the nature of the turnover. So if you go back to 2005 and 2006, one of the categories that was really the hallmark of turns and sales were special order kitchens; people would buy home, they would invest in the kitchen, they do upgrades and then they turn the home. That's actually the category for us that got hit the hardest over the housing crash. Don’t expect with the housing turnover that we think is going to grow as we go through this recovery. Don’t expect to get that same kind of response on turnover. Expect more the upgrades around -- you got to make sure the infrastructure of your home is right, you may paint, you may do some gardening. So I think it's going to be different as we go through this housing recovery than what we saw at the height of the housing market, and I don’t know Carol or Craig if you want to add some commentary to that.
Carol Tome: I'd agree of course, and also suggest that we should look at home price appreciation harder than we do turnover. We can turnover with only 4% of unit. Home price appreciation really impacts the way people spend money on their homes. We saw last year, if you think about pricing along a good, better, best premium array we saw growth in premium priced categories in every quarter of last year. And that continued into the first quarter of this year.
Michael Lasser – UBS: Okay, that's helpful. And Frank, just to follow up on some of your comments, there is probably no other senior executive in the country who has got a better vantage point into what is happening in just the housing market based on what you have seen in your stores and your conversations with your vendor partners. Do you have a working hypothesis on why turnover has slowed?
Frank Blake: Well, I’d say first look for the obvious explanations first, and the obvious explanation is mortgage rate increases. And you could look mortgage rates took a pretty significant jump up in the summer of 2013, and you saw a not surprising response to that in the housing market. I'd say and just to emphasize Carol's point, I'd say actually the surprising part has been how strong housing price appreciation is notwithstanding that? So, the way we look at it obviously that we think the mortgage rate increases had some pressure on housing turnover, credit availability is still a bit of an issue, it's good. The recent announcements from the government on how they're approaching Fannie and Freddie are interesting and maybe helpful there, but between mortgage rates and credit constraints we think that is what brought a bit of a damp on some of the variables in the housing market.
Michael Lasser – UBS: Okay. Let me ask one final question on the e-commerce business; nearly 40% growth in the first quarter, another good outcome, albeit a little slower than the nearly 50% growth that you saw in the fourth quarter of last year. Is it becoming harder to sustain the growth as the business becomes a bigger piece of the total or was there some other dynamic that's going on there to explain the slight deceleration? Thank you very much.
Carol Tome: Well, I'd say first of all our dotcom business grew faster than what we planned. So we were very pleased by this. Remember, we are anniversarying the launch of Buy Online Ship to Store. So we had expected the growth rates to slow down. It was better than we thought. And in fact if you look at the $232 million of growth that we saw in the first quarter, almost a 100 million of that came from BOSS-related sales. So, this is a business that's [growthy] (ph). It's a business that we continue to invest into, because it's part of our interconnected retail strategy.
Michael Lasser – UBS: Okay, thank you very much.
Operator: And we will take our next question from Eric Bosshard with Cleveland Research Group. Please go ahead.
Eric Bosshard - Cleveland Research: Hi, good morning.
Frank Blake: Good morning.
Carol Tome: Good morning.
Craig Menear: Good morning.
Eric Bosshard - Cleveland Research: You talked about the pro loyalty effort and I know there are a couple of other things you are piloting within Pro. I wonder if you could talk a little bit about that and how you might think that would start to show up in the numbers as we work our way through 2014?
Marvin Ellison: So Eric, this is Marvin. I'll give you an overview of the program. We call it Pro Xtra and as Craig mentioned, we signed up roughly 1.5 million pros. It's a very basic program. We are trying to do three things. We want to make sure that we get our Pro signed up so we can give them some exclusive offers; things like e-receipts, which will give them a more seamless return process. You know pros tend to buy more than they need when they're working on projects and jobs, and we want to make sure that returns process is seamless and easy. We give them this kind of business tools. As an example, if you are a roofer, it's very difficult for you to get a contract to get satellite imaging. If you sign on to Pro Xtra, we would give you discounted fees for that because we have a company contract. We also give them discount on things like background checks. So, just businesses tools to help them to run a better business and an opportunity to tie into things they can't afford as a small business person, and also exclusive offers. If you sign up, we work with Craig and it's merchandising team, and we have exclusive offers that we will make available only to pros that are in this club, in this loyalty program. We've seen very positive results. We've seen frequency in shopping increase. We've seen ticket increase in size of basket increase, it's very early. So we are not proclaiming victory, we just think we are onto something that we can build on, and we are looking forward to the future benefits of it.
Eric Bosshard - Cleveland Research: Perfect. And then secondly in terms of promotions, I know you commented earlier about spring Black Friday, but as you think about the delayed spring, how you are thinking about managing promotions and managing inventory inflow and out from here, and what risks or challenges that might create to gross margins as we work our way through 2Q?
Frank Blake: Eric, obviously we establish our event cadence and work our special buys long in advance, and those are set and ready to go for the second quarter. We are very comfortable with our inventory positions in terms of beginning the quarter and how we feel it will come out as Carol mentioned. We are already seeing the inventory come down at this point as we are seeing the pickup in the business as a result of improved weather.
Eric Bosshard - Cleveland Research: All right, thank you.
Operator: And we will go to our next question from Dan Binder with Jefferies & Company.
Dan Binder - Jefferies: Hi, it's Dan Binder. I have just a couple questions for you. First, as you look at your crystal ball over the balance of the year, you have seen this bounce back in Q2 early on. As you think about the quarterly cadence, would you expect Q2 to be your best quarter or Q4 given the easy comparison? Any thoughts on how evenly spread or unevenly spread the business might look?
Carol Tome: Well, our forecast is like Q4 would be slightly stronger than Q2, but let me just say that the band, Q2, Q3, Q4 is pretty narrow.
Dan Binder - Jefferies: Okay, and then I know in the past when you have flexibility to take the buyback up, you have taken on some debt. Just curious -- I know you outlined your plan for the balance of the year. Does that mean that you have eliminated the possibility of doing more or is it just too early to say?
Carol Tome: Okay, and as you know, we haven't adjusted debt to EBITDAR target, if you will, of two times. Today the ratio stands at 1.8 times. It is not our intent to let that ratio continue to decline, which it will as we continue to earn unless we borrow back up. So certainly haven't taken anything off the tale. As you recall last year, we said at the beginning of the year e do $4.5 billion of share repurchases. We ended up doing $8.5 billion.
Dan Binder - Jefferies: All right, and then finally just on HD Supply, just curious what drove the decision behind selling a part of the stake versus the whole stake?
Carol Tome: We had piggyback rights, so we followed along with the selling shareholders on a pro rata basis. And it was really -- it's a passive investment for us. So it made a lot of sense. If the selling shareholders go back to the market, again, we will follow along in a pro rata basis and just liquidate our position in an orderly fashion.
Dan Binder - Jefferies: Great, thank you.
Carol Tome: You're welcome.
Operator: And we will go to our next question from Scot Ciccarelli with RBC Capital Markets. Please go ahead.
Scot Ciccarelli - RBC: Good morning, guys. Two questions; first, given the correlation of your sales trends and home price changes, have you seen a change in sales trends in areas where home price gains may have slowed a bit.
Carol Tome: We looked at Phoenix for example, because there has been a bit of a slow down in home price appreciation in Phoenix, and no, 'm not seen anything materially changed.
Scot Ciccarelli - RBC: Okay. So how do you explain that just given the correlation we've seen? As long as we're kind of moving and staying in positive territory, people are more willing to spend? Is that the right way to kind of interpret it?
Carol Tome: It's part of the overall recovery.
Scot Ciccarelli - RBC: Okay, and then second, how are you guys thinking about the damage that has likely been done to housing infrastructure in a lot of these weather-affected markets? In other words, when you think about kind of your 2Q outlook, are you simply thinking about your preplanned promos and outdoor gardening kind of spring-like product categories or are you also factoring in any kind of increase from extra repair work to housing infrastructure because I would suspect that could be a driver in the near to mid-term as well?
Frank Blake: There is certainly landscape repair that has to happen; we know that there is roof patch that will take place in certain areas based on ice damage. So we've tried to look at it in general what's planning for the seasonal categories, how does that fit in, and then look at categories that you'd think naturally would potentially rise like gutters and so on, and appropriately adjust our inventory to capture those sales.
Marvin Ellison: Hi, Scott, this is Marvin. We have a roofing siding and windows services business. The only thing I would piggyback on Craig's comments is we have to staff up. So as we forecast increased activity we just have to make sure we are staffed so that we can meet the demands of the customers and we will see where we land from our revenue standpoint at the end of the quarter.
Scot Ciccarelli - RBC: Got it. All right, thanks a lot guys.
Operator: And we will go to our next question from Peter Benedict of Robert Baird.
Peter Benedict - Robert Baird: Thanks, guys. Just one question for Craig, just on the windows business, you talked about window installation being strong. Can you give us some perspective on that business where that sits today versus maybe the historical cycle? Is that telling you something about the remodel activity going on? What can you tell us about the window trends?
Craig Menear: As Frank had mentioned one of the categories that will get hit hardened was kitchens. Likewise the window business went through a pretty significant downturn as well in the 2008-2009 area. We are seeing a nice improvement in the millwork business in total and in the window business. So we are very pleased with the current trends in that business.
Peter Benedict - Robert Baird: And is that -- is it widespread across country or is it concentrated in any specific area?
Craig Menear: That's fairly widespread.
Peter Benedict - Robert Baird: Okay. Thanks very much.
Diane Dayhoff: And we have time for one more question.
Operator: And we will go to our next question from Peter Keith with Piper Jaffray.
Peter Keith - Piper Jaffray: Hi, thanks everyone for for squeezing me in. I think I just have one last question for you. When you were talking about the importance of home price appreciation, we certainly agree with that. I was hoping you could put on your economist hat though and maybe even looking out beyond this year, do you see a couple years of home price appreciation? Do you think it's going to slow down to 1%, 2% after 2014? I'm curious how you view the multiyear outlook on that metric?
Frank Blake: Peter I'd say one of the underlying questions on that is the basic supply and demand equation. And you see a lot of wrestling with the question on household formation now. What happened definitely during the housing downturn was a dramatic drop in household formation. We know that there has been a substantial increase of folks between the ages of 18 and 35, who are still living at home. That creates a potential pent-up demand assuming that they eventually form their own household in their own household units that would allow for continuing gains in price appreciation recognizing that always you're looking at overall affordability as a key part of the equation, but for right now houses are very affordable, we are at really within the last 20 years this is probably one of the most affordable readings on housing you're going to see. So supply and demand equation, what's going to happen with household formation would be the real question to ask over the next several years. And we think it's going to be a positive dynamic.
Peter Keith - Piper Jaffray: Okay, I appreciate that, Frank, and congratulations everyone on operating in a tough weather environment.
Carol Tome: Thank you.
Frank Blake: Thanks very much, Peter.
Diane Dayhoff: Well, thank you everyone today for joining us and we look forward to talking to you at the end of our second quarter. Thank you.